Operator: Good day, ladies and gentlemen, and welcome to the Acxiom First Quarter Fiscal 2014 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I will now introduce our first speaker for today, Mr. Jay McCrary, Treasurer. Sir, please go ahead.
Jay McCrary: Thanks, operator. Good afternoon, and welcome. Thank you for joining us to discuss our fiscal 2014 first quarter results. With me today are Scott Howe, our CEO; and Warren Jenson, our CFO; and Art Kellam, Corporate Controller. Today's press release and this call may contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. For a detailed description of these risks, please read the Risk Factors sections of our public filings and the press release. Acxiom undertakes no obligation to release publicly any revisions to any of our forward-looking statements. A copy of our press release and financial schedules, including any reconciliation of non-GAAP financial measures is available at acxiom.com. Also during the call today, we will be referring to the slide deck posted on our website. A link is also included in today's press release. At this time, I'll turn the call over to Scott Howe.
Scott E. Howe: Thank you, Jay, and good afternoon, everyone. Thanks for joining us. I'm going to start today's call with some bad news. Since joining Acxiom, we have had the good fortune on these calls to, by and large, talk about positive things, and the actions we are taking to build a better, stronger and growing company. For the second part of my remarks, I will do that again as we are excited about the progress we are making with the Audience Operating System, some recent new logo wins and the strength of our growing partner ecosystem. But before getting to the positive, I want to talk about a setback we have had in the IT Infrastructure business. Over the past few months, we have experienced some significant customer losses. In our 10-K, we talked about termination notices and the associated customer revenues. Unfortunately, since our filing, we have been notified of an additional termination. The reasons for the overall losses differ. Two were basically bad luck, where customers decided to take their IT infrastructure in-house as being -- as part of being acquired by a third party. The other 4 situations where we lost the competitive bids in our services were just not renewed. This is obviously not the result we worked for, nor is it acceptable. So where from here? First and foremost, I have asked Kevin Zaffaroni and his team to redouble their efforts to delight our ITO customers. This remains the priority one. To each of our customers, we want you to know, we are fully dedicated to your long-term success. Second, we have retooled our ITO sales and marketing efforts and now have several new prospects in our pipeline. That said, these are folks that have laid dormant for several years, so even though we have more prospects in the pipeline, rebuilding a cadence of growth will take time. Finally, as we've talked about before, we are revamping our ITO innovation. We recently introduced the Acxiom PrivateCloud, which leverages our existing infrastructure with a superior combination of service, storage and flexibility. Our ITO customers also benefit from our proven experience in security and data privacy. In addition, we have launched the Acxiom Private Portal, which allows existing customers to see a performance dashboard on either their desktop or mobile device. In short, it makes it easier for our clients to manage their outsourced IT. In total, we expect to record fiscal 2014 revenue of between $65 million and $70 million from ITO customers who have given us notice of termination. Given the timing of these terminations, we do not expect these customer losses to impact our overall financial guidance for fiscal 2014. That said, we expect that fiscal 2015 revenue from these customers to be negligible. Since the impact of this lost revenue will not be felt for several quarters, rest assured that we will use the time to make every effort to take steps to minimize the long term bottom line impact to Acxiom. Of course, this is not the message I wanted to start with, but it is our reality, and I fully expect our ITO team to rally to this challenge. Now I'd like to turn our focus to Marketing and Data Services, the launch of the Acxiom Audience Operating System and our expanding network of partners. This past weekend, a historic merger was announced; Omnicom and Publicis are coming together. It was interesting to read their joint press release and the commentary. Let me share with you a few of their notable quotations. From the joint press release, Maurice Lévy summarizes the trends underlying the merger, "The communication and marketing landscape has undergone dramatic changes in recent years, including the exponential development of new media giants, the explosion of Big Data, blurring of the roles of all players and profound changes in consumer behavior." Similarly, John Wren highlights the requirements of, "A new standard for supporting clients with integrated messaging across marketing disciplines and geographies." In the Sunday New York Times, Tanzina Vega wrote, "The merger of 2 industry giants, Omnicom and Publicis, to create the largest ad company in the world signals that advertising is now currently in the hands of Big Data." Likewise, paraphrasing Forrester's David Cooperstein, "Agencies are being asked by clients to deliver 4 services, including marketing and business strategy based on deep data, technology-driven ad management, competitive customer-facing systems and channel-agnostic or a channel-complementary creative juices." The point I'm trying to make is pretty clear. The world is coming to us as Big Data and insight-based decisioning is exactly what we do. It is also exactly our vision for the Acxiom Audience Operating System. Our technology will enable one-to-one targeted marketing at scale across all channels and to all devices. Let me share a few updates. First, we intend to launch the Acxiom Audience Operating System in September at Advertising Week. When you think about this launch, you shouldn't consider it as an end date or a single event, but rather as the start of a long and prosperous journey. Our intent is that the AOS will continue to build in both functionality and efficacy, with ongoing waves of continuous enhancements. With literally every passing week and month, we are planning to add new features, capabilities, data sources, partners and applications. The AOS is a living ecosystem and one as we execute that will constantly continue to grow and build in its effectiveness and scale. In preparation for the upcoming launch, I've been spending a lot of my time focused on both our product and overall marketing efforts. Given our investment in innovation, Acxiom has an exciting story to tell, and I'm placing great emphasis on improving our storytelling in the coming weeks. With this launch, you will witness an exciting new approach to Acxiom's product marketing, our collateral, and how we interact with our customers. In addition, you will see a new website, which will convey a cleaner and far more contemporary story. Let me also share a few updates on our development progress. There are several important pieces to the AOS including: first, access to the world's best data; second, the ability to transform that data into insight about people; and third, ultimately, the ability to use these insights to create better results. I used to mention we are making significant progress. For example, our total unique anonymous cookie pool is now approaching 1.1 billion. We have several companies that are currently working to implement their user interface into the AOS and several others in the queue. Our mobile reach now exceeds 200 million customer profiles. In terms of our ecosystem, we now have over 50 publisher and developer partners, including 5 of the 6 largest U.S. publishers. And our digital reach will soon approach nearly every Internet user in the U.S. This complements our already industry-leading offline reach, which approaches 95%. As a result, we are uniquely positioned to communicate relevant stories to people across both online and offline channels in a cohesive and compelling fashion. In summary, we are very excited about this launch, and the beginning for our AOS and its ecosystem. You will hear a lot more about this in September. Now finally, a bit of news about Marketing and Data Services customers. This past quarter, we announced several new label wins. We will be providing database solutions for Springleaf Financial and Wellmark, along with data and analytics services for U.S. Cellular. We also signed a renewal with a top 3 telecom provider. Our pipeline continues to be robust and is up strong double digits versus a year ago. Included in our pipeline is over $25 million, which is associated with our mid-tier database solution. Further, we have 4 customers who have purchased this solution and are in various stages of deployment. Additionally, while it's early, our AOS and partner network pipeline now consist of tens of millions of dollars in identified opportunities. Over the next 30 days, Acxiom's entire sales and service organization is being trained of our key selling points, pricing and other necessary areas. While we continue to encourage you to be conservative in your revenue expectations for the year, we intend to hit the ground running. So while there is still work to be done to convert our pipeline into revenue, we believe we are doing the right things to get our Marketing and Data Services' top line moving again. Before I turn the call over to Warren, let me conclude with the following: I am deeply disappointed with the Infrastructure Management losses. We will do everything we can to prevent this from happening again and also use the time we have to take steps to minimize any resulting dilution. At the same time, we believe we are on to something very special with the Acxiom Audience Operating System. We believe it is revolutionary and groundbreaking for marketers, advertisers and agencies. For the first time, one-to-one targeted marketing will be available at scale across all channels and devices. Now I will turn the call over to Warren.
Warren C. Jenson: Thank you, Scott, and good afternoon, everybody. Before commenting on our first quarter, I would like to update you on our progress against some of our other initiatives. First, running a better business. As Scott mentioned in our last call, I now have responsibility for our Marketing and Data Service infrastructure and our corporate IT function. This past quarter, we completed an analysis, which defined roles and responsibilities between our IT, delivery and engineering organizations. What we found was a knowledgeable and dedicated group of associates who made sure customer needs are met. But we also found a lack of role clarity, shadow IT organizations and duplication. In a word, we found self-induced complexity creating a maze of people-based solution. Let me give you 2 examples. Like in any organization, system access is a big deal and must be well controlled. Today, Acxiom is very well controlled, but we do it in a very complex way. We maintain a matrix that it maintained by individual as oppose to a system which is role-based. Role-based access is contemporary and commonplace today. The impact of our complexity is that every year we process more than 30,000 system access change requests. In a role-based environment, this number should be in the hundreds. Next, customer service. Today, by and large, our customer service approach is handled customer by customer, making the vast majority of our customer teams each have their own homegrown ticketing, scripting and process for issue resolution. In other words, a big opportunity for synergy, automation, knowledge sharing and efficiency. Further, we found individuals with some sort of responsibility for customer service in multiple organizations. Our next step is to clarify roles and responsibilities. From there, we will then go after these and other opportunities in the months and quarters ahead. Next, we are working with both product management and sales to build our pricing models for the Audience Operating System. While we won't get into the specifics of our pricing, I will touch on our general thought. The AOS is a realtime SaaS-based platform. Our pricing will have a tiered approach, with both subscription and usage-based fees. Partners such as publishers will typically be charged either a percentage of ad media spend or on a CPM basis. We are also implementing an automated back-office solution, which will include billing, revenue recognition and customer support. Finally, looking at the months ahead, we intend to take steps to formally separate our operating units. You should expect meaningful expenditures over the next few quarters. These expenditures will cover things like formal documentation associated with intercompany agreements, network and IT separation, and outside consulting and contractor assistance. Our efforts will not only be focused on the formal separation of our operating units, but will also be focused on ongoing operational effectiveness and on minimizing the bottom line impact from our lost ITO clients. The bad news is certainly that we lost some clients. The good news is, we have time to act before we feel the impact. Now our first quarter 2014 results and a few highlights. For the quarter, 12 of our top 20 customers in the U.S. -- in U.S. Marketing and Data Services showed year-over-year growth. Revenue for the top 20 customers was up 2% in Q1. For the top 100 U.S. Marketing and Data Services customers, revenue was up 3%. Overall margins were slightly down compared to last year, primarily as a result of increased spending associated with AOS. Despite much higher AOS-related spending, our GAAP diluted earnings per share were flat at $0.17 compared to last year. We repurchased $16 million of stock in the quarter, and to date, approximately $156 million. We have retired almost 13.5% of our outstanding common shares. Finally, please note that this quarter we moved our email business from the Other Services segment into Marketing and Data Services. We consider email to be a core application in the AOS ecosystem and feel this presentation better reflects our current approach in assessing our business performance. The Other Service segment is now essentially our U.K.-based fulfillment company. Now we will discuss our results -- our quarterly results in more detail. I will be referring to a slide deck, which was posted on our website. A link was also included in our press release. Starting with Slide 3 on our summary financial result. Total revenue was $266 million, down 2% from last year. U.S. Marketing and Data Service revenue was also down 2% for the quarter. IT Infrastructure Management and International Marketing and Data Services were down approximately 1% and 6%, respectively. Operating expense for the quarter was $242 million, down 2%. The decrease was primarily attributable to lower IT-related expense, offsetting an increase in AOS-related spending and SG&A. Of the approximate $3 million increase in SG&A, approximately 2/3 of the increase was associated with project-related spending and also higher outside legal costs. GAAP diluted earnings per share were $0.17 in the quarter, flat to the prior year. Now moving to Slide 4 and our top line performance. U.S. Marketing and Data Service revenue was down 2% for the quarter. The decline in revenue was primarily driven by reduced quarterly activity of one of our largest customers and lower year-over-year email volumes. IT infrastructure Management revenue was down 1%. The U.S. Other Service revenue decrease of $2 million reflects the complete transition of the risk business. International Marketing and Data Service revenue was $24 million, down approximately $2 million or 6%. The International Other Service revenue increased $2 million or 31%. There was no material FX impact in the quarter. Slide 5. For the quarter, the company's operating margin was 9% compared to 9.4% in the same period a year ago. This decline is primarily due to lower U.S. Marketing and Data Services margin. In the U.S., Marketing and Data Services margin was 10.3%, down from 13% last year. The decrease in margin is, again, primarily attributable to increased investment in the AOS and increases in SG&A. IT Infrastructure Management margin increased to 15.5% compared to 12.6% last year. This increase was primarily due to efficiency gains and a contract termination fee. Operating margin for the International Marketing and Data Services decreased to a negative 17% compared to a negative 11% a year ago. This is primarily due to weakness in our European and Australian operations. Our International Other Service business margin improved to 6.8% compared to 5.5% in the previous year. Now on to a few comments on Slide 6 and 7. For the quarter, free cash flow to equity improved $13 million compared to negative $18 million in the prior year [ph] period. On a trailing 12-month basis, free cash flow to equity was $70 million compared to $175 million in the prior year [ph] period. Excluding proceeds from the sale of background screening business, free cash flow to equity decreased $32 million, mostly related to increased capitalized software for the investment in new products and also higher taxes. Capitalized software costs increased $2 million in the quarter as a result of our AOS investment. Total capital spending, which includes capital expenditures, capitalized software and data acquisition cost increased $5 million in the quarter to $17 million. During the quarter, the company repurchased another $16 million of stock. Since inception of the share repurchase program, we have retired approximately 13.5% of our common stock for approximately $156 million. Our total share repurchase authorization is $200 million. For the quarter, we continued to maintain a strong cash position, an improved leverage profile and a strong balance sheet. Now on to the guidance. There are a few things that we would like to mention. Again, tuck-in acquisitions are a possibility, and some of these may be focused on technology which would accelerate our progress in bringing added functionality to the AOS. Given these acquisitions may not come with revenue or earnings, they could be dilutive to our guidance. Our guidance excludes any unusual items that may be incurred during the year. Next, looking ahead, our comparisons will continue to be tough due to our ongoing spending heading into our upcoming AOS launch and our project -- projected slow ramp in AOS-related revenue. More specifically related to Q2, our margins will be pressured by not only our product-related spending, but also our launch support and a material increase in our spending associated with the separation of our business units. In short, for Q2, we expect some top line pressure and down margins. With that said, for fiscal 2014, we are maintaining our revenue and diluted earnings per share guidance of roughly flat year-over-year. Thank you again for joining us today, and we look forward to the launch of the Audience Operating System and updating you throughout the year. Operator, we'd now be happy to open the call to questions.
Operator: [Operator Instructions] Our first question comes from the line of Mark Zgutowicz from Northland Capital.
Mark J. Zgutowicz - Northland Capital Markets, Research Division: Just a question on the IM segment. The $65 million to $70 million, can you mention how many customers are represented in that number? And then if you could talk about sort of how costs are assigned to this -- to that revenue number? Trying to get a sense of the impact on that segment's op income line.
Warren C. Jenson: Mark, I'd be happy to address that. This is Warren. In terms of the notifications, we have received formal notification from 4 clients, and we have included a fifth where we have received a verbal notification, and we thought it appropriate to include. So it would be a total of 5. Going forward, we normally won't talk about the number of clients to the extent there are any updates, but in the spirit of our historical disclosures on where we are today, I wanted to share that information with you. Here's how I would think about it from a bottom line impact and how we are thinking about rectifying the issue. If you start, just to keep the numbers round, with $70 million, figure we have a 10% operating margin. So there's a $7 million challenge. Next in the business, which I think gets to your second question. We have this classic overhead SG&A, and then we also have fixed costs associated with delivering the product. And I would factor that in at about 15% -- the combination of those 2 somewhere between 15% to 20% of revenue. So when you do the math, the challenge we have to overcome would be -- just doing the pure math would be $17 million to $21 million. So kind of figure round numbers between $15 million to $20 million. Now a couple of things on how we're going about doing it. I think the first thing is, as Scott mentioned, is we have a really terrific dedicated team of people that know this business and care deeply about its future. We are confident in their capabilities to go out and close some new business, and we're going to do everything we can to help them in doing that, and that is the best way to offset the dilution is to really fill up the well again with new revenue. The second thing that we'll be doing in the quarters and months ahead, and Scott said repeatedly as we prepared for this call that it's hard to find -- to ever find a silver lining in something like this. But the only piece of good news is, is that we have time to act. And so in conjunction with the separation of our operating units, we'll be spending a lot of time looking at our cost structure and looking for opportunities to further reduce the impact of the dilution.
Mark J. Zgutowicz - Northland Capital Markets, Research Division: Okay. That's helpful. A separate question on the AOS investment. Can you just talk about sort of where that spend is taking place within the SG&A line? I'm just trying to get a sense of how much your existing MDS sales force will be levered and sort of what the incremental costs are, sort of what types of people you're needing. And then also just a question on the segment, the MDS segment margin if there was any impact on the shift of email into MDS on the segment margin?
Warren C. Jenson: Let me address the first 2. There are 2 places where in our operating statement where the expenditures show up. The first is in our data expense and because we have invested in new forms of data, and that shows up above the line. So that would be above the SG&A line. The second place we have expense is also in R&D and in engineering, and that also shows up above the line. The only place where you would really see things down in SG&A will be associated with things like incremental product marketing spend that might be in the sales line associated with our launch, our increased sales training. We have a number of people that are working on our business model and also the integration of our back-end systems, and those costs would show up below the line.
Mark J. Zgutowicz - Northland Capital Markets, Research Division: Okay. So I guess maybe asking the question specifically on the SG&A line. Just looking at the sort of uptick over the last few quarters, is this -- and it looks like just over the last 3 quarters you've sort of seen an uptick just above the norm.
Warren C. Jenson: Absolutely.
Mark J. Zgutowicz - Northland Capital Markets, Research Division: Is that to continue here or is that going to lapse here in another quarter or 2?
Warren C. Jenson: I would expect the SG&A to pretty much continue along these lines. When we look at our full sort of year run rate, I'd figure a little bit over $40 million a quarter. So coming in, I think our current estimate is just north of $160 million for the year. The increase in SG&A, and I gave the reason for it, the bulk of the spending is related to project-related expense. In Q2, some of that related to the separation of our operating units because we do have costs in really doing that -- in doing that work, and we would expect those costs actually to ramp up as we formally separate these units in the form of documenting all of our intercompany agreements, going through the nuts and bolts and mechanics of separating out our network and our IT infrastructure. So that sort of spending will go up. The other thing that we're doing is, we're spending a little bit of money on what I'd call really getting at the plumbing of running a better business. So a good example of one of the projects that's in Q2 and will continue is, we're looking at our entire, really, enterprise data model. And the reason why we're doing that is, I think I mentioned on our last call that our data has sort of become a little bit kludgy and mixed up. And certain people will call the same thing one thing, and another group will call something, something else. And we're really trying to standardize that data model in order that we can be more streamlined and more accurate in really how we look at our products and do our analysis. The other important thing about doing a project like that is we have to have this data model rewired to work in more of a digital and SaaS-like media environment because what we're looking to do there is move out of the world of professional services and sort of manually generated invoices into a world of automated billing. That requires that you have your data hierarchy really nailed and your infrastructure in great shape. So the good news is, we have the people on our team now that can do that. We've been at it for several months. The bad news is, it's just a lot of work and it costs some money to do. So I would expect those expenditures to continue, but really are a necessary part of our building a much more effective digital SaaS-based company.
Operator: And our next question comes from the line of Carter Malloy from Stephens.
Carter Malloy - Stephens Inc., Research Division: So just a little bit on the pricing being a tiered approach and with -- on the publisher side probably a percent of ad media or CPM. Is the publisher side of that equation -- do you expect that being a large, meaningful driver? And can you give us just a little more sense of what the tiered approach means, what the sales guys will be going out with?
Scott E. Howe: Carter, it's Scott. So tiered approach, think about our basic AOS as a SaaS subscription model, and it's going to be bundled with some preloaded applications. The fee that someone pays, the subscription fee that a marketer would pay is largely driven by their cumulative volume. How much stress they're going to put on the system, how much data they're going to ingest and all the functionality that they're going to use. That is completely independent from the publisher revenue to the extent that they use their Audience Operating System to buy media using their targeted data to cast a wide net across the 5 or the 6 publishers or even beyond. Or they turn on better applications that were not built by Acxiom. Typically, we will either get a license if it's a software developer or we will get license fee or we will generate a media commission from the publisher. And yes, you're right, the vast majority of those will be what we call rev shares, so we will get a portion of the media spend, and that is paid to us by the publisher.
Carter Malloy - Stephens Inc., Research Division: Okay. So the campaign flows through the platform, the dollars effectively flow over to the publisher and then your payment actually comes from the publisher side as a percent of what flows through there?
Scott E. Howe: Yes, well, we get paid both ways, right? So we get paid from the advertiser for their SaaS subscription, and then we get paid by the publisher for any immediate spend or other software vendors who are providing applications and both giving us a fee from that.
Carter Malloy - Stephens Inc., Research Division: And other software vendors would just be other forms of online marketing outside of core display on those core publishers?
Scott E. Howe: Yes. The way to think about this is, if you look at the core stack that comes preloaded with our offering, that's functionality that does exist and someone might be using in their own existing campaign management software. They may be using their own existing reporting software. Our application's great if clients use them, but in many respects, we built them to demonstrate how powerful this stuff can be. Our hope is that every player who provides campaign management software or a cross-channel optimization software or reporting software, they will configure against our AOS and utilize our data as part of their existing solution.
Carter Malloy - Stephens Inc., Research Division: Okay. And then, you guys are clearly seeing some good demand early on before even releasing the product. Fast forward a year after release, how do you define success of this product? Is that, that half of Acxiom's customers are out using it and using it in a meaningful way or is it a much smaller subset of your customer base or some other metric? But what do you see as true success September 24, 2014?
Scott E. Howe: Yes, so I think you're going to step back from those success metrics, Carter. #1 for me is, I want everyone associated with Acxiom to know about the capabilities because we feel that just educating them about it will generate a lot of demand. So we got to be out there and tell the story, both to our existing clients, but also a wave of prospects who can benefit from these kinds of capabilities. Second, but as importantly, we need to have some great success stories, but not necessarily success stories around, "Yes, we signed up 10 new clients this week," but rather success stories about the clients that have adopted this have achieved double-digit growth in their ROI or X% savings in their media plan by eliminating duplication across channels and frequent in [ph] capping across all of their channels or great case studies about much better insights. And to us, if the product works like we think it does, like we've seen it work with our beta clients, it makes the selling of it far easier because marketing is nothing if not a me too industry. As one marketer succeeds and talks about that success, other marketers are quick to follow suit. So that's, that's what we want to get going, which is a real viral groundswell of success stories.
Warren C. Jenson: Carter, I would also add to what Scott said. As you think about this as an ecosystem, and every layer, we want to get more valuable with time. So just as he mentioned in his prepared remarks that we look ahead, and we want the amount of data we're ingesting to increase, we want its relevancy to increase, the number of apps that are built into the app layer to increase. So that with every passing quarter or week or day, whatever your time of measure, in effect, the ecosystem just becomes that much more vibrant, but more vibrant not just in terms of its capability, but in terms of its users and its application.
Carter Malloy - Stephens Inc., Research Division: Okay. That's very helpful. And then are you guys, Scott, to your building of case studies, are you guys building that currently with your beta customers? And is the number of customers in beta still the same or still the same core group there?
Scott E. Howe: Yes, we haven't lost any if that's your question.
Carter Malloy - Stephens Inc., Research Division: I was just curious if you'd add more or you'd always plan to keep the same?
Scott E. Howe: No, no. It's grown. I think we have over 20 clients in some sort of pilot right now. We have dozens of customer conversations in the pipeline, and that's before rolling out our pricing and our sales training, which occurs the entire month of August. We're doing that simultaneous to standing up -- every demo you've seen to date and the clients that are running on pilots, they're on demo server. So the other big thing we're doing in August is we're standing all of this up to our production servers so that when we launch we are not constrained by any gating factors. We definitely want to get as many clients a taste of these capabilities as possible as quickly as they'd like.
Operator: And our next question comes from the line of Todd Van Fleet from First Analysis.
Todd Van Fleet - First Analysis Securities Corporation, Research Division: Scott, you had mentioned that you're in various stages with various customers and prospective customers on the AOS. Can I ask what are the types of customers that you expect to have out of the gate when you announce officially in September? And I guess the follow-on to that is, would you expect that we'd see some customer announcements around that same time?
Scott E. Howe: Yes, certainly, when we announce, we want to communicate some success stories. And I'll tell you, my definition of customers is a lot broader than perhaps it was 2 years ago when I joined Acxiom. The Acxiom of 2 years ago, when you think about how to grow, it was to sell more custom databases to really big clients. The AOS gives us a lot of optionality around that growth, and so our definition of customers is going to expand. They will include, first and foremost, our existing customers where we believe that the AOS is a fantastic upsell to the custom database work that they're already doing with us. In a sense, the custom database feeds the AOS and helps power it to generate more effective marketing results. So we expand from a traditional data play into media, marketing and advertising far more expansively. But it doesn't stop there; our definition of customers now includes major publishers. So I've mentioned 5 of the top 6 U.S. publishers. I would expect at launch, that list is going to be greater, and it also includes other software development partners who serve these marketers in other capacities today. And so we consider them customers as well. And with the launch, not only will we come -- will we announce the preloaded Acxiom applications, but we hope to also announce a fairly lengthy list of other partners that are building on top of our stack.
Todd Van Fleet - First Analysis Securities Corporation, Research Division: Okay. That sound like yes, you do expect to announce some customers maybe in conjunction with the AdWeek rollout. I guess just to try to dig a little bit deeper, do you expect those customers as paying customers who you signed contracts with on AOS, are they more of the publisher variety or is it software developers, is it -- what's the revenue stream that you expect from those that are earliest adopters, I guess?
Scott E. Howe: Yes. I would say the first cabs off the rank will be advertisers themselves because to actually purchase this inventory it's much easier to do so if they are licensing the Acxiom Audience Operating System. And then with that, the second step, so to speak, will be publisher revenue. And I think the software application revenue will be a little bit slower to develop. Let me caveat all of this by reiterating what I've always said, which is, we expect the ramp on this to be slow. If I've learned nothing about product launches, it's that, they never go quite as planned. They never go -- they never scale as rapidly as you would like. So we continue to urge conservatism for this revenue ramp through the second half of the year. We think our goal for the second half is to sign customers, and that revenue will start to become more significant next year and beyond.
Todd Van Fleet - First Analysis Securities Corporation, Research Division: Let me turn to, I think, a question that was previously asked. I'm not sure I heard the answer to it, but the email business that was moved from Other to Marketing and Data Services, what was the revenue contribution in June, the June quarter?
Warren C. Jenson: About $5 million.
Todd Van Fleet - First Analysis Securities Corporation, Research Division: $5 million. Okay. And then on IT management, so the 5 customers that have indicated they're going to be terminating, is the business -- is that business segment profitable absent that business and in the absence of any new customers?
Warren C. Jenson: I would answer that question, Todd, by going through the same math that I did before because it shows the impact of the dilution, so we'll lose roughly $7 million of -- just using averages -- $7 million of operating margin and then we have between 15% of 20% of revenue that we have to make up for in terms of the fixed cost of delivering the product and in terms of the overhead. So that's the challenge off of our existing base of EBIT.
Todd Van Fleet - First Analysis Securities Corporation, Research Division: Okay. So the 15 to -- I'm sorry, so just to understand that last point because it's late in the day and my head's kind of hurting here, Warren. So you take 14...
Warren C. Jenson: I'll just use round numbers. If, call it, the EBIT contribution from the business is roughly $30 million and what we're saying our challenge to go find is between, the math I did was $17 million or $21 million or I rounded it to $15 million to $20 million. So that is the impact on the profitability of the company before we go take any action relative to new business coming in to offset that overhead and/or cost action to offset the dilution.
Operator: And our next question comes from the line of Dan Salmon from BMO Capital Markets.
Daniel Salmon - BMO Capital Markets U.S.: In some of the past calls you talked a little bit about top 100 clients, top 200 clients and the trends you're seeing there, and I was wondering if you could share that again? And then second, coming down the client list from those big guys, I know we talked a little bit previously about a version of AOS potentially for a bit of the midsized and smaller customer and whether that would be a little different, a little bit more lightweight. And I wonder if you could just share your current thinking around that.
Scott E. Howe: Yes. So let me start with the second question first, and we're pulling the data on what you're looking for. We have it all over the wall in front of us. On the second, the lightweight, scalable technology that we've been talking about for mid-tier is actually a mid-tier database. And I think I referenced that we have 4 clients now utilizing it. We have a pipeline of $25 million from that. On top of that, any of those mid-tier clients could also use our AOS and our AOS is fast. It is designed to be lightweight and scalable. And so the version that a mid-tier client sees is exactly the same version that a very large client sees. They may choose to populate it with different data, they may use -- choose to connect it to different applications, but what we've built here is very different than anything we've ever built at Acxiom previously because this really is a lightweight SaaS application. Very complex, but very simple for our customers to set up and use.
Warren C. Jenson: And then I'll just repeat what we said about our top 20 and also our top 100, which have been sort of the segmentation we've used. So for the quarter, we had 12 of the top 20 customers in U.S. Marketing and Data Services had year-over-year growth. Revenue for the top 20 customers was up 2% in the quarter. For the top 100 U.S. Marketing and Data Service customers, revenue was up 3%.
Operator: And our next question is a follow-up from the line of Mark Zgutowicz from Northland Capital.
Mark J. Zgutowicz - Northland Capital Markets, Research Division: Just a question on AOS. And I think the comment you made, Scott, was that there -- you have 20 -- greater than 20 in some sort of pilot and then a few in discussions. I'm just curious for somebody that's not in a pilot now, so starting sort of fresh on AOS, what would you anticipate to be a typical sort of trial period? Or how do you see that -- I guess the sales cycle might be a different discussion, but once you sort of have somebody in the pipeline, sort of what it takes to sort of convert? And then specifically, when they're converted, how long does it take them to be sort of a paying customer?
Scott E. Howe: Sure. The way we built this thing, it's designed to be pretty lightweight and fairly easy to implement. So everything that you know about the traditional custom database business largely doesn't apply here inasmuch as the second a client wants to start, the launch times are months or weeks, but it can be done in days. And they can start utilizing their applications in whatever sequence, to whatever kind of velocity that they want. So their initial software comes preloaded with a handful of application bundles that Acxiom has created, and all of those they can start to utilize immediately. Depending on how heavy the usage is, there would be additional usage fees. Our goal here is to encourage people to try it because once they start to use it we think it's going to be pretty powerful more than anything.
Mark J. Zgutowicz - Northland Capital Markets, Research Division: Okay. And then just one final question. On the data partnership side of AOS, is -- I think I remember you talking about in terms of mobile coverage, roughly 200 million in the U.S. Can you update that if there is an update and sort of how -- well, not -- I guess not specific to mobile, but I look at mobile as sort of an area where you can certainly differentiate today more so than display or online. But I'm curious, are there any sort of key data partnerships that you added since the last quarter? And then, are there others that are still out there that could really move the needle or do you feel like you have what you need to be about as robust as necessary?
Scott E. Howe: We think we have a compelling critical mass for launch. That said, we have a hit list, and it's essentially ranked by 2 factors. One is, what our clients want us to connect with. And second, for publishers, it's about reach. That if there's a sizable publisher, whether it's in mobile or digital cable or online, they are certainly in our conversation list. And so what we'd like to communicate someday is that, whether it's the top 100 or the top 500 or top 1,000, depending when that communication happens, we want to have everybody signed up. And we feel by signing up the network -- I oftentimes refer to it as the plumbing and the wiring. It's not necessarily the product. It's connecting the ecosystem around the product. We think that's really important. The more partners we sign up, the more efficacy, the more breadth and the better results our clients achieve.
Operator: And that concludes our question-and-answer session for today. I would like to turn the conference back to Mr. Warren Jenson for any concluding remarks.
Warren C. Jenson: Great. Well, let us just conclude by thanking everyone for joining us -- that are joining us today, and we look forward to following up with you after the call. Thanks a million.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program, and you may now disconnect. Everyone, have a good day.